Operator: Ladies and gentlemen, thank you for standing by. My name is Krista, and I will be your conference operator today. At this time, I would like to welcome everyone to FiscalNote Third Quarter 2024 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. And after the speakers remarks there will be a question-and-answer session. [Operator instructions] Thank you. I would now like to turn the conference over to the company. Please go ahead.
Bob Burrows : Good evening. My name is Bob Burrows, Founder and Principal of Western Avenue Advisors, LLC, an Investor Relations consultancy. I am Interim Investor Relations Officer for FiscalNote, having been hired by the company back in April following the departure of the former IRO. Thank you for joining the call today as we discuss FiscalNote's third quarter 2024 financial results as well as the additional news today regarding the announced leadership change for the company. With me on today's call with prepared comments are Tim Hwang, current Chairman, CEO and Co-Founder; Josh Resnik, current President and Chief Operating Officer; and Jon Slabaugh, CFO and Chief Investment Officer. Other members of the senior management team will be available as needed during the Q&A session that will follow these prepared comments. Please note, copies of today's press release, the current report on Form 10-Q for the quarter and the required current report on Form 8-K related to today's disclosures as well as an updated version of the corporate overview presentation are all available on the company website. In terms of important housekeeping, it is important to mention the following. During this call, we may make certain statements related to our business that are forward-looking statements under federal securities laws. These statements are not guarantees of future performance, but rather are subject to a variety of risks and uncertainties. Our actual results could differ materially from expectations reflected in any forward-looking statements. For a discussion of the material risks and important factors that could affect our actual results as well as the risks and other important factors discussed in today's earnings release, please refer to our SEC filings, which are available either on our company website or the Securities and Exchange Commission's EDGAR system. Additionally, non-GAAP financial measures will be discussed on this conference call. Please refer to the tables in our earnings release or the updated version of the corporate overview presentation, both of which are available on the Investor Relations portion of our website for a reconciliation of these measures to their most directly comparable GAAP financial measure. Finally, we use key performance indicators or KPIs in evaluating the performance of our business. These include run rate revenue, annual recurring revenue or ARR and net retention revenue or NRR. Again, please refer to the earnings release or the updated corporate deck for definitions of these important metrics. And with that, I'd like to turn the call over to ViscoNote's current Chairman, CEO and Co-Founder, Tim Hwang. Tim?
Timothy Hwang: Thank you, Bob, for that introduction, and thank you all for joining us this evening. It's great to be with you today as we discuss a variety of items on the company, including our third quarter 2024 results, the state of our overall business and of course, the leadership transition also announced this evening. Given that change, I'll share my thoughts on the company I cofounded before turning the call over to Josh, who will provide an update on the state of the business. First, let me address the rationale for taking a step now to transition the leadership of the company to Josh starting January 1, 2025. When we set out more than 10 years ago in founding FiscalNote, our guiding principle and mission was to help customers make sense of the complicated and constantly changing world we live in by delivering a proprietary AI-enabled platform that aggregates and organizes regulatory, political and macroeconomic information and analyze the impact on their organizations overall. As of today and reflecting back over that time frame, that is exactly what we have done. Back then, applying machine learning and big data analytics to test the laws and regulations were just an inkling of an idea. Fast forward today, we are now living in what I believe will be one of the largest technology transformations in my generation. Today, we are the market-leading AI platform for the regulatory, legislative policy and geopolitical intelligence sectors. As you've heard from me many times, we are essentially the Bloomberg terminal for regulatory, legislative and strategic risk, drawing upon a deep reservoir of technical expertise, proprietary data and analytical tools. I take tremendous pride in knowing that we have amassed a collection of proprietary high-quality and authoritative data on a range of aspects, including international, federal, state and local legislation across 80,000 cities, all 50 states and every major federal regulatory agency as well as deep profiles on tens of thousands of policymakers, millions of legislative and regulatory bodies and purpose-built analytical tools monitoring governments around the world and resulting in what we have established as of today, a market-leading position across thousands of customers. More than that, we have grown to become several hundred passionate individuals around the world serving thousands of customers from the White House to the DoD to almost half the Fortune 100, empowering decision-makers around the world with the intelligence they need. This success as a company from the very beginning of three guys on the laptop with an idea happened because we focused on the customer, cared about our employees and continue to push the envelope on innovation. From aggregating the world's legal data to putting predictive analytics on it, pushing the boundaries of cloud collaboration and now pushing the envelope on generative AI, FiscalNote has been at the forefront of innovation at every turn, all while staying true to customer needs and making it a great place to work. Looking ahead, the company, like any start-up, now requires new leadership and a fresh perspective on the strategies and approaches to realizing the next phase of growth for the business. After almost 12 years at the helm of operating FiscalNote every day and after deep considerable thought, I've decided to pass the baton and transition to the role of Executive Chair, allowing me to step into a new chapter, returning to my founder roots with renewed passion and focus as we continue to scale FiscalNote to even greater heights. Josh Resnik, FiscalNote's current President and COO, is the absolute right person for that task. I'll continue to work to reinforce my continued commitment to the company's vision and success in this new role, where I will continue to focus on strategic initiatives and the continuity of FiscalNote's mission as it enters the next phase of growth. I'm incredibly proud of what FiscalNote has accomplished and excited to direct my passion, energy and motivation in the role of Executive Chairman, working closely with FiscalNote on culture, nurturing new innovative products, accelerating our generative AI growth, working on strategy and being a continuous advocate for FiscalNote externally. And I'm, of course, happy to support Josh, who has been an effective and impactful number two for the last four years. The future is part of FiscalNote and the company could not be better positioned for the future. We are now living in a world where our customers need our products more than ever to navigate a rapidly changing geopolitical environment and why our level of invention and innovation continues to push the boundaries of our products at the intersection of law and AI. With this leadership transition, that future has become even more promising as we continue to pursue our multiyear journey to earning our place in history books and becoming the dominant player in our industry. It is both an honor and a privilege to have served as CEO of FiscalNote. Josh and I, over the course of the next 1.5 months, will work together with the rest of the senior team, ensuring a smooth transition so that come January 1, we enter the new year well positioned to execute on the company's mission and vision and to ensuring we continue to impact the daily lives of our thousands of customers around the world. Thank you. And I'll now turn it over to Josh to update you on the current state of the company.
Joshua Resnik: Thank you, Tim, for those kind words and for your heartfelt views about the company. I want to thank everyone here for joining us this afternoon, and I look forward to discussing our third quarter results as well as what you can expect to see from us in the future. But first, I want to take a moment to address the change in Tim's role. Like a number of FiscalNote team members, I joined FiscalNote because of Tim. In the early part of his startup's lifespan, his success rests on the founder's shoulders. And from the moment I first met Tim and ongoing throughout my time working at FiscalNote with him, I've continued to be impressed by his unique qualities and skills, his vision, his creativity, his boldness and his commitment and in particular, his passion for FiscalNote, his understanding of our market and his relentless drive to achieve a successful return for all our shareholders. And that's why I'm so glad Tim isn't leaving FiscalNote and that he'll continue to work with us actively on strategy and other drivers of this next phase in the FiscalNote story. As for me, I've succeeded at both ends of the spectrum, including in senior roles at some of the world's largest companies as well as with hands-on experience with tech start-ups as an early hire, venture adviser and leader and mentor to founders and teams. So I bring a balanced perspective that supports growth and innovation at any scale. I'm looking forward to continuing to collaborate with Tim as each of us steps into our new role. With that, let me turn now to the state of the company with a focus on what we've done and what you can expect to see from FiscalNote going forward. Let me begin by first taking a broad view of the recent past. We've spent the last two years rightsizing our cost structure as well as going from consistently negative adjusted EBITDA to five quarters in a row of positive adjusted EBITDA, including this most recent quarter. Importantly, today, we are announcing an upward revision for the full year 2024 to approximately $9 million adjusted EBITDA. This is a tremendous accomplishment for all of our FiscalNote teams and a testament to their hard work. And it also should serve as a clear statement from the entire FiscalNote team as to the discipline with which we are operating the company. In 2023, we were laser-focused on achieving adjusted EBITDA profitability for the first time, and we did that one quarter sooner than planned. In 2024, we wanted to expand that profitability, and we've done that regardless of circumstance. We've been continuing to refine our product portfolio so that we can apply focus in the areas with the greatest foundation for future profitable growth. This includes the sales of Board.org and more recently, Aicel as well as sunsetting of noncore underperforming products, all of which continues our ongoing initiative to divest noncore businesses, reduce business complexity, delever the balance sheet and drive efficient and profitable growth. Excellence matters, and we simply cannot be excellent if our teams are spread too thin, trying to advance unproductive or unprofitable initiatives. As I'll discuss in a moment, we are actively evaluating other elements of our current product mix as we proactively reduce our organizational complexity and focus on the ways in which we best deliver value to our core customers. This has the additional benefit of positioning us to realize increasing margins and profitability. We have continued to optimize our commercial organization, giving us a solid foundation on which we can embark on a new phase of growth and sustained financial performance. We are driving alignment and replicating playbooks across our global teams to increase customer engagement and improve performance management and sales productivity. We have leveraged AI technologies as the centerpiece of new products such as our Copilots for policy and Global Intelligence. And we have integrated these technologies into our core offerings as a means to surface critical information more quickly and to help our customers be more productive and drive better outcomes for their organizations. And we continue to see promise in our ability to leverage our unique mix of data sets, proprietary content and both human and artificial intelligence to better serve our customers' needs. And now we are increasing our focus on product under the leadership of our new Chief Product Officer, Can Babaoglu, whose hiring we announced in the third quarter. Can pioneered the development of Casetext and helped drive its rapid expansion by creating engaging customer experiences and leveraging new technologies such as generative AI to become one of the top products in all of Legal Tech, leading to a successful $650 million all-cash sale to Thomson Reuters. Importantly, given FiscalNote's own roots and our desire for a product culture centered on rapid iteration and innovation, Jon is a true entrepreneur, having founded companies on his own as well as helping build and grow Casetext. So he knows what it means to protect and provide a return on investor capital. So with that brief look back, I'll turn to the future. First and foremost, building on what I just noted regarding our emphasis on product, we will focus on delivering best-in-class product experiences, leveraging our strengths in data collection, aggregation, normalization, synthesis and analysis in artificial intelligence and in our proprietary content, the whole of which provides us with a competitive advantage that is difficult to replicate. As a core component of that, under our new Chief Product Officer's leadership, we are consolidating and deprecating legacy platforms in parallel with our prioritization on creating new product experiences that address the core challenges our customers face. With the targeted use of generative AI, where it puts customer value first as well as by leveraging other cutting-edge technologies and our data science capabilities, we will deliver robust, intuitive solutions that empower and enable our customers to achieve outsized outcomes. The end result will be improved customer experiences that drive higher growth and retention, more product-led growth and product-led sales that will decrease our customer acquisition costs over time and streamline operations that enable us to continue to increase profitability. Second, we will be increasingly focused in areas and segments where we see the greatest growth and opportunities, including international, where we are experiencing demand for our global policy data as well as our EU policy analysis and global intelligence and corporates, where there is continued room for expansion in our core markets and where we've seen traction and growing opportunity in key segments such as large enterprise and mid-market. Tied to this, we will continue to evaluate further portfolio rationalization and deemphasis in areas that we see as noncore or suboptimal, including sunset of any noncore underperforming products. While this may include wholesale reduction or elimination of noncore initiatives, we also are digging into areas where we don't view the growth profile as the long-term fit. For example, we've implemented more margin discipline on onetime revenue from our advisory business, which has had a near-term impact on top line growth, but which will better enable our increased profitability and returns over time. Third, we will continue to take steps necessary to improve our capital structure. As you're aware, and as I reiterated earlier, we've already begun this process with the sales of Board.org and Aicel, and we will continue to take advantage of opportunities in the market where we feel we can realize value for shareholders, deleverage further and refine our focus so that we can better drive growth. Can and his team have done an excellent job in driving successes this year, and they will continue to do so as we look ahead. Overall, the changes we've made and are making to our organization and our portfolio are intended to position us to return to a trajectory of sustainable growth and increasing profitability. We have delivered on profitability. We continue to get more profitable, and that's just the start. We better positioned our organization for growth, and we are investing in the product improvements that will drive that growth. Jon and his team will continue to take steps to improve our capital structure while we maintain our commitment to driving growth in the core business and compete to retain our existing customers and win new business every day. Together, these initiatives are foundational to the next phase of long-term sustainable growth for the company. I'm both humbled and honored to step into the role of CEO at the outset of the new year. But mostly, I'm excited about the large global opportunity that lies ahead, and I look forward to updating you on our progress across 2025 and beyond. With that, I'll now turn the call over to Jon to take us through the numbers. Jon?
Jon Slabaugh: Thank you, Josh. My comments will be brief this afternoon. And given today's other news, I want to take a moment to congratulate Tim on his transition to Executive Chair. Tim's contribution as Founder, CEO and Chairman cannot be understated. Tim, it has been a pleasure working with you these past five years, and I look forward to continuing to collaborate with you in your new capacity. And Josh, I'm equally thrilled to continue our work together as you step into the CEO role and continue driving the next phase of profitable growth for FiscalNote. With that, let me turn to the quarterly performance, starting with the income statement. Total revenue for Q3 2024 was $29.4 million, in line with our forecast and lower than the prior year due primarily to the divestiture of Board.org. While down period-to-period, subscription revenue remains the cornerstone of our business, accounting for 93% of total revenue this quarter and in line with the company's historical trends. Looking at our key performance metrics. As of Q3 2024, run rate revenue was $119 million and annual recurring revenue was $109 million. On a pro forma basis, adjusting for the impact of the Board.org divestiture, current year run rate revenue is $5 million lower than the prior year third quarter, and ARR was level with prior year third quarter. And as of Q3 2024, Net revenue retention was 99%, slightly lower than the prior year. Turning to expenses. Principal operating expenses in Q3 2024 continued the trend of year-over-year decreases, reflecting the impact of cost-saving initiatives instituted last year, the Board.org divestiture and sunset products during the current year. Cost of revenues decreased by over $4 million or 40% due to certain technology-related amortization expenses in 2023 that did not recur in 2024. R&D decreased by $1.2 million or 28%. Sales and marketing decreased by just over $2 million or 19% and G&A decreased by just under $4 million or 26%. In aggregate, total operating expenses in Q3 fell over $11 million versus the prior year or 24%. On a pro forma basis, excluding amortization expenses, stock-based compensation and the impact of the sale of Board.org, OpEx decreased approximately $4 million or 12%. Looking at profitability for the quarter, let's start above the line. Gross margins remained strong in the quarter, with Q3 2024 coming in at 79% on a GAAP basis and 86% on an adjusted basis, both increases over prior year period. These improvements primarily reflect our focus on consistent adjusted EBITDA growth and the impact of the sale of Board.org, sunset products and improved efficiencies. As I've stated at each of our earnings calls this year, we continue to pursue and find further incremental operating efficiencies. The GAAP net loss for Q3 2024 was approximately $14.9 million, slightly higher than the prior year period. EBITDA for Q3 2024 was negative $5 million, slightly higher versus the prior year period, and adjusted EBITDA was positive $3.4 million versus just under $1 million for the prior year period. With a positive adjusted EBITDA for the quarter, that brings FiscalNote to five consecutive quarters of positive performance for this key profitability metric, a total of $9.4 million on a trailing four quarter basis. At quarter end, we had cash and cash equivalents, including short-term investments of approximately $33.4 million, which continues to reflect the positive contribution from the sale of Board.org in March. Period-end cash also reflects the ongoing initiatives to improve efficiencies across the company and our continuing attention to prudently allocate capital to investments in the business with the highest potential for growth and positive return. Additionally, at quarter end and after giving effect to our sale of Aicel and the principal repayment, our total debt outstanding, including principal and accrued interest, stood at $168 million, sequentially lower than $172 million at the end of the second quarter. Turning to guidance. Today, taking into consideration the visibility we have on the remainder of the year, we revised our full year 2024 numbers slightly. Specifically, we raised our full year profitability forecast for adjusted EBITDA to $9 million, up from approximately $8 million forecast in August. At the same time, we lowered our full year revenue forecast for total revenue to $120 million, down from the previous $121 million forecast in August. This $1 million reduction reflects the divestiture of Aicel and also the impact of anticipated lower advisory revenue as we continue to evaluate the trajectory of that business going forward, offset by the realization of improved operating leverage resulting from further operational rightsizing initiatives. Of note, the forecast of $9 million in adjusted EBITDA marks the first full calendar year of adjusted EBITDA profitability for FiscalNote. The company expects to continue to drive deleveraging and therefore, improvement of its capital structure, reduce complexity of its product portfolio and strengthen customer experience and retention rates through the ongoing optimized product strategy and road map through the end of 2024 and continuing into 2025. We also today provided guidance for Q4 2024 total revenues of approximately $29 million and adjusted EBITDA of approximately $2.5 million, both reflecting divested and sunset products and the continued trends we've experienced throughout the year. Finally, I wanted to note that the Board continues to review all strategic alternatives available to the company to maximize value for shareholders. As always, we do not intend to provide updates on the outcome of this review until further disclosure is appropriate or required. In summary, our business through the first nine months of 2024 remains stable and well positioned to drive future impact and success. We continue to implement our product strategy while executing our operational efficiency initiatives as we further solidify our position as a critical partner to our diverse customer base. This concludes my prepared remarks. I'll turn it over to the operator to begin the question-and-answer session. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator instructions] Your first question comes from the line of Jesse Sobelson with D. Boral Capital. Please go ahead.
Jesse Sobelson: Hi, everyone. Thanks for taking my questions. Congrats on the shift in the C-suite. It's a big move, and I think investors are going to be excited to see some changes in the business. I am curious, looking forward here, what -- in terms of the target capital structure over the medium term, we've sold some assets. We've improved profitability quite dramatically quite recently. What is the goal for the capital structure maybe on a net debt-to-EBITDA basis? And how do we get there from here? What's the vision over the medium term?
Jon Slabaugh: Thanks for the question, Jesse. It's Jon. And that's something that we spend a lot of time thinking about the right capital structure. As we said, we're still continuing to kind of evaluate that and other strategic moves we might make. The company has a good senior credit facility and subordinated debt as well. We're looking at ways to reduce our overall cost of capital and be able to service that with the cash flow that we plan to generate in subsequent years. So as we get into our budgeting and planning for the upcoming years, that will really be informative about kind of the right level of debt that the company can sustain long term. But I think we'll continue to try to find ways to deleverage and reduce the overall debt profile of the company. That will be a driver of the long-term equity value for the company.
Jesse Sobelson: Yes. Understood. I think just one quick follow-up for me. Just there's a lot of talk on the bigger picture on the business here. Just kind of drilling into specifics. One thing that I think a lot of people are really excited to hear about was this copilot program with AI being utilized. I was wondering, there were some pilots done earlier in the year. There's certainly been some progress there. Would you guys be able to elaborate on any customer reception with the new technologies that you guys are executing on, implementing with your product and any developments there, please? Thank you.
Joshua Resnik: Sure, Jesse. This is Josh. I'll address that. So we launched two Copilots earlier this year. One is our Copilot for Policy, one is the Copilot for Global Intelligence. With the Copilot for Global Intelligence, that's essentially combined with the other aspects of our product experience, it gives our end users a new way to interact with our data and analysis and a way in which they can get to the heart of answers to their most pressing issues much more quickly. We've been really happy with the customer uptake that we've seen. We've seen a very, very broad uptake among our customer base. We're seeing a lot of good healthy metrics in terms of things like return visits, repeated -- kind of repeated inquiries, and we like actually the nature of the questions that we're seeing being asked. And we've also seen promise in terms of the potential that, that has to help drive upsell and cross-sell through product-led sales and product-led growth, which is important for us going forward as well. So a lot of good successes there, and we feel really good about that product and what it will be able to do to help drive us to more growth going forward. For Copilot for policy, that was a bit of a different nature of launch. So that was taking an approach of essentially slicing off a single piece of functionality, making that available to users to interact with in a different way. So taking just really a small subset of what our core product is able to do for users from a policy standpoint, giving them the chance to interact much more simply around just a simplified set of functionality. And what's been good about that is, again, we've had a lot of learnings from how users have interacted with it, some different types of users than we have typically worked with in the past. And we've been able to leverage both that technology that we developed and the learnings from that to bring a lot of that functionality directly back into our new core product initiative as well, which is something I talked about in terms of how we're focused on driving these improved customer experiences across the core. So again, a lot of good work from that and good learnings coming from that one.
Jesse Sobelson: Great. Thank you very much for taking the questions.
Joshua Resnik: Thank you.
Operator: Your next question comes from the line of Mike Latimore with Northland Capital Markets. Please go ahead.
Mike Latimore: All right. Great. Thanks and congrats, Tim and Josh, on your new roles. The gross margin was -- well, overall profitability was great, but gross margin was up nicely. I guess is that -- it seems like that would be sustainable given the drivers here, but do you view gross margin levels as sustainable?
Jon Slabaugh: Hi, Mike, it's Jon Slabaugh. We believe so. The gross margins increased by virtue of the Board.org divestiture, which had a little bit of a different cost profile to it. And it's also improved as we deemphasized some of the advisory and service-oriented lines of business. They had a higher fulfillment cost as well. So as we kind of double and triple down on our core policy and global insights business, those are subscription businesses with really great margin profiles.
Mike Latimore: Got it. Got it. Good. And then in terms of thinking about a return to growth, it sounds like new products are key. Do you feel like the new products you just talked about are sufficient to get back to growth? Or are there going to be others that you're launching here that are kind of critical?
Joshua Resnik: So Mike, it's Josh. So thanks for the question there. So a good part of what's going to help us get back to the level of growth that we expect is what I talked about, generally speaking, regarding product and the focus that we have on product going forward. What's really key for us is creating the right customer experiences that can drive the right levels of engagement that can help us drive better retention as well as that cross-sell, upsell. As I've mentioned before, those are where we have the most significant challenges. And so what we want to do is bring those new experiences to our core products and our core customers. That will give us a very strong basis for growth going forward and the basis of not just growth, but long-term profitable growth, and that will give us the ability to continue to invest in new product development over time as well.
Mike Latimore: And then just last actually, on the third quarter, that I believe historically has been an important quarter for government bookings. I guess how did the government perform in the quarter?
Joshua Resnik: So yes, Mike, this is Josh. So we saw good government performance in Q3, and that continues to be a strong basis for us going forward as well.
Mike Latimore: Great. And just last one. You talked a lot about looking at deemphasizing or divesting noncore product areas. I guess, can you give us a sense of what percent of the revenue or ARR could be in that noncore category?
Jon Slabaugh: Mike, I don't really want to give any kind of guidance on that right now. I think it's fair to say that a substantial portion of our revenue really is in the businesses that we intend to be in for the long haul. But we're still going through that evaluation and we need to kind of make decisions one by one as we continue to focus on simplifying the business and kind of clearing the path to growth.
Mike Latimore: Okay. Thanks a lot.
Jon Slabaugh: Thanks, Mike.
Operator: Your next question comes from the line of Zach Cummings with B. Riley Securities. Please go ahead.
Ethan Widell: Hi. This is Ethan Widell calling in for Zach Cummins. Thanks for taking mu questions. To start, Tim, congrats on the transition. Can you elaborate maybe on why now is the right time for the leadership transition?
Timothy Hwang: Yes. No, I appreciate the question. I mean I think, first of all, it's been a great run here kind of running the company day-to-day and operating for the last 12 years. As I mentioned in my remarks, I started the company with three guys in a laptop and a Motel 6 room in Silicon Valley have been grinding 365 days a year ever since. And so I do think that the company is quite well positioned here. We have launched a number of new products, have gotten to a place where we have several thousand customers. And as was mentioned today, we've had effectively sort of record profitability on an adjusted EBITDA basis and now consecutive profitability 5 quarters in a row. And so looking at 2025 and beyond, I think we are quite well positioned to make the transition. As I mentioned, I'm still very involved in the business, got a strong interest in making sure that the company continues to be successful, leading the Board and strategy and quite a number of different product and culture-based initiatives. And so I think I've been working with Josh for the last almost six years now and it just seemed like the right time to make that transition here.
Ethan Widell: Got it. That's helpful. Thank you. And then looking towards fiscal 2025, maybe what assumptions are underpinning your confidence and your return to growth next year?
Joshua Resnik: Sure. So this is Josh. I'll address that. We actually -- we obviously look very deeply in the business to see where things that are working, things that are not. And as I mentioned, a big part of what we're doing going forward is making sure that we're doing the right things to focus on the areas where we see that promise and the opportunity for growth. So a couple of sectors and segments that I've mentioned. We're seeing a lot of promise in international that includes areas of our global policy data sets, our EU policy analysis and global intelligence, and we see that as a very strong foundation as well as in corporates and especially in large enterprise and mid-market. So we're seeing some good signs in the mix of what we review. And then as I said, in addition to just generally speaking, bringing that focus in those areas that work is bringing the focus on the product as well and bringing the right product experiences in front of our customers to help drive that retention and that cross-sell, upsell that will be a foundation for growth as well. And we've been undertaking efforts in that regard. We have improvements underway for our core products and the early signs there that we're seeing are very promising. So we feel excited about the direction that we're going there as well.
Ethan Widell: Got it. I appreciate.
Operator: [Operator instructions] Your next question comes from the line of John Roy with Water Tower Research. Please go ahead.
John Roy: Thank you. Obviously, there's a lot of focus on growth on the top line and new products and possibly new geos, which would seemingly require new products. I was curious if you could give us any color on the competitive landscape? Are these seeming to you purely greenfield opportunities that no one is there? Are you -- do you see players that are already there? Just curious if you could give us some color on the competitive landscape.
Joshua Resnik: Sure. So this is Josh. And maybe I can help clarify a bit in terms of what I'm talking about in terms of international. What I'm talking about there in the areas that we see promise is really about the global data sets that we have in [indiscernible] and policy analysis that we have regarding markets outside the U.S. So these are assets that we already have. We have customers already engaging with them. And we're seeing a lot of -- as I said, we're seeing metrics and indicators underneath that are giving us an indication of a lot of promise in terms of the demand for those existing data sets and content sets that we already have. And so when I'm talking about the optimism that we have in terms of where we see that promise going forward, it is in regards to data we already have, content we already have and focuses in on products we already have, but the improvements to those products that we are making in order to drive better engagement with our existing customer sets. We do see promise in new logo as well. And -- but in terms of key areas that we're focused on in terms of driving that continued improvement. A lot is focused on that retention, cross-sell, upsell, and that's where the improvements to our existing current core products come into play. Does that help answer the question?
Unidentified Analyst: You've got a lot already in hand to really get to these new areas. That sounds great.
Operator: We have no further questions in our queue at this time. I will now turn the conference over to Bob Burrows for closing comments.
Bob Burrows: Great. Thanks, Krista. That concludes our call this evening. We appreciate everyone's participation on the call. With any additional questions, please contact any of us. And again, all materials related to the company's third quarter 2024 financial results are available on the FiscalNote website. We look forward to speaking with all of you again in the future. Good night.
Operator: This concludes today's conference call. Thank you for your participation, and you may now disconnect.